Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Hello, and welcome to the Euronext Fourth Quarter and Full-Year 2021 Results Call. My name is Josh and I will be your coordinator for today's event. Please note that this conference is being recorded and for the duration of the call your lines will be on listen-only. [Operator Instructions] 00:35 I will now hand you over to your host, Stephane Boujnah, CEO and Chairman of the Managing Board of Euronext. Thank you.
Stephane Boujnah: 00:44 Good morning, everybody, and thank you for joining us this morning for Euronext fourth quarter and full-year 2021 results conference call and webcast. I am Stephane Boujnah, CEO and Chairman of the Managing Board of Euronext, and I will start with the highlights of this fourth quarter before commencing on our full-year performance. Giorgio Modica, Euronext’s CFO will then further develop the main business and financial highlights of the quarter. 01:11 As you've seen, Euronext reported record revenue in the fourth quarter of 2021, at €370.1 million. This is the highest quarterly revenue we ever disclosed. This strong performance translated into more than 50% growth in both revenues and EBITDA and an almost 20% increase of adjusted EPS. 01:38 During the fourth quarter of 2021, our revenue grew by plus 59.5% or plus 138.1 million from last year. And this significant growth resulted from several drivers. First from very solid organic growth across almost all our businesses. Giorgio will provide you with more details on this performance in a few minutes. 02:06 Second from the consolidation of the Borsa Italiana Group activities that contributed for 127 million of revenue this quarter. In the fourth quarter of 2021, non-volume related revenue accounted for 55% of our total revenue and income, slightly up compared to last year while at the same time our trading business has been growing. So, our non-volume related revenue covered 126% of our operating expenses, excluding G&A. This is an increase compared to 118% last year. 02:44 On the cost side, the increase is solely reflecting the consolidated cost of the Borsa Italiana Group, as well as related integration costs. Because like-for-like our cost base remains flat compared to Q4 last year. 03:01 Overall, these numbers translated into plus 64.1% rise in EBITDA to €208.2 million and representing a 56.3% EBITDA margin, up 1.6 points from last year. At like-for-like, at constant currencies, we reported EBITDA margin at 57%, up plus 1.8 points from last year. Bottom line, in the fourth quarter, we delivered plus 19.7% increase in adjusted EPS. At €1.31 per share. 03:40 On a reported basis, net income was up plus 68.7% to 112.7 million. This reported fourth quarter marked the conclusion of a very strong year 2021 for Euronext. With more than 40% growth in revenue, EBITDA, and double-digit increase of adjusted EPS, 2021 was a record year compared to 2020, which was a very good year as well. 04:13 In 2021, Euronext recorded a plus 46.9% revenue growth to close to €1.3 billion. We generated plus 414.3 million additional revenue in 2021. Thanks again to the combination of both organic growth, even compared as I say to a very strong 2020 year and accounting only for eight months of consolidation of the Borsa Italiana Group. 04:44 So, this combination of strong earnings growth and combination of the Borsa Italiana Group. This performance reflects first an organic solid performance of our non-volume related activities. In that respect, I would highlight the strong year of our listing business, posting a plus 9% organic growth thanks to a regard year in primary listing and development of our corporate services. 05:10 For the Advanced Data Services business also reporting robust organic growth, up plus 4%, reflecting growth across all [indiscernible] products. Second, the Borsa Italiana Group contributed 337.7 million in 2021 for eight months of consolidation. 05:32 As a result, non-volume related grew from 50% in 2020 to 55% of our top line in 2021 and these non-volume related revenues accounted for 131% of our operating costs, excluding D&A. On the cost side, I'm pleased to announce that we over achieved our 2021 guidance on cost, excluding the impact of the Borsa Italiana Group acquisition. 06:02 As we consolidated costs from Borsa Italiana Group and Euronext Securities Copenhagen, and as we incurred related integration costs, in relation to these two acquisitions, all costs mechanically increased by plus 49.8% compared to last year. 06:19 Overall, this translated into an EBITDA of 752.8 million, up plus 44.8%, or plus 232.8 million from 2020. EBITDA margin was slightly down at 58% reflecting the cost from acquisitions and integrations I just mentioned. In that regard, I'm pleased to share with you that we delivered the first 10.1 million of synergies in 2021. 06:53 Lastly, on a like-for-like basis, EBITDA margin was up 0.2 points to 59.7%. Overall, this performance resulted in a plus 17.2% increase in adjusted EPS to €5.35. On a reported basis, net income is up plus 31% to 413.3 million, consequently and in line with our dividend policy of distributing 50% of reported net income, a dividend of €1.93 per share will be proposed at our upcoming Annual General Meeting in May. 07:31 2021 has been a strong year, and 2022 is a year of transformational projects for Euronext. As I just mentioned, we delivered 10.1 million of run-rate synergies at the end of 2021, only eight months after the completion of the acquisition. As a reminder, we are committed to deliver €100 million of run-rate synergies by 2024. 08:01 Please note that the synergies we delivered over the past – over the eight months of 2021 after the completion of the transaction and are delivered before any contribution from the identified business developed opportunities that we are pursuing in relation to the acquisition of the Borsa Italiana Group. 08:24 To deliver these synergies, we incurred a total of 27.6 million of implementation cost combined between operating costs and exceptional costs. As you can see on this timeline, all three major projects are underway. Yet, their delivery will be paid over the duration of the plan, starting with the migration of our new Core Data Centre in Italy near Bergamo, which will happen in June this year. 08:52 We also confirmed the expected timeline for the migration of the Italian cash equities and the relative markets to update for 2023, as well as the expansion of Euronext Clearing services to all Euronext markets by 2023 and 2024. 09:07 Moving to the next slide, I would like share with you the latest development on our ESG strategy. We believe that capital markets can and must empower sustainable growth. We see it as overall to promote the evolution of companies to more sustainable business models and to help them addressing the transformation of the investment community. As the leading index provider in Europe, we are continuously taking steps to accelerate the transition to a sustainable economy. 09:39 This is why we announced yesterday the upcoming launch of the AEX ESG index in Amsterdam. This new ESG index is a new milestone in our ambition to offer investors and ESG version of our national flagship indices. After the successful launch of the CAC 40 ESG in France and the MIB ESG in Italy in the past few months we are now launching this new development in the Netherlands. 10:10 All three industries allow investors to finance high impact projects and companies in-line with the UN Global Compact principles. All-in-all, we've launched more than 20 new ESG industries in 2021 and we are now offering a wider range of products to investors, including time and benchmark, biodiversity, or water and social [indiscernible] based indices. 10:31 These developments are very concrete results of our Fit for 1.5° ESG strategy, of which two other important milestones will [alter] [ph] in 2022. The first one will be the completion of the migration of a Core Data Centre to a fully green facility near Bergamo I’ve just mentioned. 10:50 The second one is the release or the detailed announcement of our funds based detailed targets in the coming months for carbon footprint reduction. In 2021, we confirmed our position as the leading European market infrastructure. Thanks to the Borsa Italiana Group joining Euronext in April 2021, and benefiting from post-Brexit commissions. 11:17 Today, Euronext is the largest equity listing venue in Europe, combining the strength and the [indiscernible] of its seven exchanges across Europe, united by its unique single liquidity pool, and therefore we welcome 25% of Europe and equity trading activity in 2021 on Euronext markets. 11:41 Out of the 212 new equity listings this year, half of them were from tech companies. This reflects the booming environment for tech and innovation driven companies in Europe. As the leading listing venue, it is the mission of Euronext to support their financing needs and to accompany these companies on their growth journey. 12:03 This is why we recently announced the launch of our new comprehensive service offering for tech companies, including our new segment dedicated to tech, named Tech Leaders. Tech companies will have access to a wide range of services, including pre-IPO programs and past-listing services, as well as to this unique dedicated segment. 12:25 With this segment, we further strengthened Euronext leading position for the equity listing of European tech companies as we enhance visibility, effectivity and credibility of value propositions to both issuers, tech issuers, and investors, tech investors. 12:42 I now hand over to Giorgio Modica for the review of our fourth quarter performance.
Giorgio Modica: 12:47 Thank you, Stephane, and good morning, everyone. I am now on Slide 10. In the fourth quarter of 2021, Euronext consolidated revenue income reached €370.1 million, the highest revenue quarter ever for our company, representing an increase of €138.1 million or 59.5%. These results were primarily driven by the consolidation of the Borsa Italiana Group and strong performance of non-volume related business and clearing. 13:20 On a like-for-like basis and constant currencies Euronext consolidated revenue was up 4.3% versus the fourth quarter of 2020. Moving now to the different business lines, trading revenues increased to €132.3 million, up 50.4%, thanks to the consolidation of Borsa Italiana and MTS trading activity, as well as the organic performance of the business with good volume and revenue capture in our trading activities. 13:53 Post-trade revenue, including net treasury income increased 81.2% to €103.8 million, primarily as a result of the consolidation of Euronext Securities Milan and Euronext Clearing, previously known as Monte Titoli and CCMG. 14:13 Advanced Data Services revenue increased to €50.7 million, up 50.1% benefiting from the consolidation of Borsa Italiana, that activity and dynamic index activity and a solid performance of the core business. 14:29 The listing revenue grew 35.8% to €51.9 million, thanks to the consolidation of Borsa Italiana and the continued momentum in equity listing. In terms of revenue mix, fourth quarter 2021, non-volume related revenue accounted for 55% of total group revenue versus 54% in the fourth quarter of 2020, reflecting the increased diversification in our revenue mix. 15:01 Lastly, non-volume related revenues covered 126% of our operating cost, excluding D&A, compared to 118% last year. 15:13 Moving to the next slide for listing among Slide 11, listing revenue was 51.9 million in the fourth quarter of 2021. Again, an increase of 30.8% compared to the fourth quarter of 2020. It was driven by the momentum in equity and debt leasing. With regard to equity listing, the fourth quarter of 2021 saw the continuation of a strong primary listing activity with 57 new listing on Euronext, including five large cap notably Autostore Holdings, OVH and Ariston Holdings, the 2021 largest cleantech listing and six SPACs. 15:56 Euronext continues to demonstrate its strong value proposition for tech companies recording most capital raising from deals on tech and innovation driven companies. In the fourth quarter of 2021, 6.5 billion was raised on Euronext primary market, which is more than double the amount raised in the fourth quarter of 2020. 6.2 billion were raised on secondary equity issues. 16:26 I would like to highlight that for the first fourth quarter in a row, we confirmed our position as the number one listing venue in Europe for equities, ETFs, as well as for that worldwide. Our debt franchise reported strong results across Euronext market in the fourth quarter of 2021, driven by favorable market condition and continued momentum in ESG bond listing. 16:55 In the fourth quarter of 2021, €389.4 billion in debt was raised on Euronext’s market. Overall, this brings us to a total of €402.1 raised in equity and debt on Euronext market in the fourth quarter of 2021. 17:16 Lastly, corporate service reported 8.6 million in revenue in the fourth quarter of 2021. This performance is negatively impacted by approximately 1.5 million, a one-off revenue recognition adjustment, and lower activity compared to a very intense fourth quarter of 2020. 17:36 Let's move now to our trading business on Slide 12 and let's start with cash trading. ADV on a proforma basis, including Borsa Italiana increased 4.7% to 12.2 billion, supported by uncertainty around economic policies and material in the rebalancing during the fourth quarter. 18:01 Average revenue capture of the quarter reached 0.49 basis points and the market share was 71.3%, both including Italian cash markets. The consolidation of the cash trading activities of Borsa Italiana coupled with good volumes resulted in cash trading revenue, up 26.5% to €79.3 million. 18:30 Now, moving to derivative trading, derivative trading was up 21.4% to €14.2 million in the fourth quarter of 2021. Proforma average daily volumes on financial derivatives slightly increased by 0.4%, thanks to higher individual equity derivative volumes offsetting lower volumes for equity index derivatives, commodity product reported a record quarter with average daily volumes up 14.8%, reflecting the successful commercial expansion undertaking in the past few quarters. 19:11 The average revenue capture over the fourth quarter for derivative trading was €0.30 per lot. 19:19 Moving to fixed income, I remind that fixed income includes the trading activity of MTS, both cash and repo and the fixed income trading activity of Euronext, and Borsa Italiana such as the MOT and EuroTLX. 19:38 Fixed Income trading reported revenue at €24.2 million in the fourth quarter of 2021. This is 45x the amount reported in the fourth quarter of 2020, as a result of the consolidation of the Borsa Italiana Group. In the fourth quarter of 2021, MTS cash generated 17.2 million of revenue and MTS Repo generated €4.8 million in revenue. 20:07 The strong performance of MTS cash trading activity up 31.7% versus the fourth quarter of 2020 reflects the positive momentum in cash bond trading supported by the steady issuance in support from the ECB and the EU recovery fund activity and a continued risk on attitude from investors. 20:32 The fourth quarter of 2021, furthermore so, a renewed interest in the Repo activity with adjusted ADV up 4.9% to €292 billion. Continuing with trading on Slide 13, Euronext reported average Spot FX trading daily volumes of $19.4 billion in the fourth quarter of 2021, down 3.1% compared to the fourth quarter of 2020, resulting from a less volatile trading environment. 21:09 Spot FX trading revenue increased 3.9% to €6.1 million as lower trading volume were more than offset by positive impact of foreign exchange rate of the period. Power trading reported €8.5 million in revenue in the fourth quarter of 2021, a solid double-digit growth of 18.7%, compared to the fourth quarter of 2020, as a result of an increased power trading volumes driven by cold winter in the fourth quarter of 2021. 21:45 In the fourth quarter of 2021, average daily day-ahead power traded was 2.76TWh, and average daily intraday power traded was 0.08TWh, up 14.4% compared to the fourth quarter of 2020. 22:06 Moving to Slide 14, revenue from our post trading activity including treasury income increased 81.2% to €103.8 million. Clearing revenue was up 73.1% to €30.1 million as a result of the consolidation of Euronext Clearing activity again formerly known as CC&G, and higher clearing revenue and treasury income received from LCH SA. On the like-for-like basis and our current currencies, clearing revenue was up 6.4%, compared to the fourth quarter of 2020. 22:47 Net treasury income from Euronext Clearing was for the quarter €12.9 million. Custody settlement and other post-trade encompassing the activity of the four CSD we operate under the Euronext Securities brand reported strong revenue growth, up 52.3% to 60.7 million. The strong performance was mainly driven by the consolidation of Euronext Securities, Milan, a record 6.5 trillion of asset under custody and the higher number of retail account in our Nordics CSDs. 23:25 Moving to Slide 15, advanced data service revenue was up 50.1% to €50.7 million in the fourth quarter of 2021, driven by the consolidation of Borsa Italiana that activity – a dynamic index activity and a solid performance of the market data business. Proceeding now with Investor Services, revenue was up 32.1% to 2.3 million in the fourth quarter of 2021, reflecting the continued traction of the offering. 23:57 Lastly on Technology Solution revenue more than doubled in the fourth quarter of 2021 to €26.4 million as a result of the consolidation of Borsa Italiana Technology business, increased contribution from Nord Pool technology activity, as well as an increased SFTI/Colocation fees. 24:18 Moving now to Slide 17 for the financial highlights of the quarter, starting with the EBITDA bridge. Euronext EBITDA for the quarter was up 64.1% to €208.2 million. EBITDA margin increased to 56.3% in the fourth quarter from 54.7% in the fourth quarter of 2020, despite the impact of integration costs. 24:47 On a like-for-like basis, the EBITDA margin was at 57% this quarter, up 1.8 points and EBITDA increased 7.8%. From a revenue perspective, Q4 revenue at constant perimeter increased €10.1 million, compared to the last year, reflecting a mid-single digit organic growth. Change of scope contributed €125 million of additional revenue reflecting the Borsa Italiana Group revenue contribution of €127 million to the top line, but also the disposal of small businesses in 2021, not contributing to the profitability of the group. 25:32 Looking at cost, operating cost, excluding D&A were up 54% at €161.8 million as a result of €54.8 million additional cost from change of scope as a result of the consolidation of the Borsa Italiana Group and from integration costs related to the acquisition. Stable cost base on a comparable perimeter, thanks to our continued cost control effort offsetting inflationary trends. 26:05 Moving to Slide 18 for the net income bridge. Net income increased this quarter, 67.8% to 112.7 million, resulting from the following elements: D&A mechanically increased mainly impacted by the consolidation of Borsa Italiana D&A and the impact of PPA for around €16 million. 26:31 Exceptional costs were 3.9 million higher vis-a-vis last year, mainly related to the integration cost of Borsa Italiana Group and a brand impairment link to the implementation of our new CSD branding strategy. Net financing expense for the fourth quarter of 2021 was 1.8 million higher, compared to last year, reflecting the cost of recently issued debt. 27:00 Results from equity investment increased 3 million, reflecting higher dividend received from Sicovam and a stronger contribution of our 11.1% stake in LCH SA versus the fourth quarter of 2020. 27:17 Lastly, income tax for the fourth quarter of 2021 was €35.7 million. This translated into an effective tax rate for the quarter of 23.6% benefiting from higher than expected deductible costs from the PPA. In 2021, the average effective tax rate was 27.4%. For next year, for 2022, we expect a tax rate in-line with the one over 2021. 27:50 Adjusted for PPA and exceptional items, reported net income was 140.2 million translating into an adjusted EPS increase of 19.7% to €1.31 per share for the quarter. 28:09 Moving to Slide 19 for cash flow generation and leverage. Net operating cash flow amounted to 145.6 million. This would translate into a cash flow conversion of around 70%, but excluding the impact of CCP activities, the impact of Nord Pool and Euronext Clearing on change on working capital, 65% of the EBITDA was converted into post-tax operating cash flow. 28:40 Our net-debt-to-EBITDA ratio was 2.6x at the end of the quarter versus 2.8 at the end of the third quarter of 2021. As a reminder, the net-debt-to-EBITDA ratio at the end of 2020 was 3.2x proforma for the Borsa Italiana Group acquisition. I would like to highlight that those ratio do not take into account the 160 million Euronext also in short-term securities. 29:11 Moving to Slide 20. We now give a look at the evolution of our liquidity position over the quarter. Our liquidity position remained strong above 1.4 billion, including the undrawn RCF of €160 million. 29:30 Finally, and I'm now on Slide 21, let's spend some time together on our 2022 cost guidance. Following the Investor Day and during the interaction with you and analysts and investor, we registered an increased demand for adjusted financial metric to better capture the underlying performance of the business in a time of significant transformation, like the one we are living. 29:57 I have discussed it with Stefan with our Supervisory Board and together we have decided for an evolution of our reporting towards that direction. Starting from the first quarter of 2022, Euronext will provide information about its adjusted cost for non-recurring items, and publish an adjusted EBITDA. 30:16 We will not do that – we would do that for the aim of provide the market with the better sense of Euronext underlying business performance. In practical terms, what will have happen starting from the first quarter of 2022 is the following. We will remove the exceptional items lined from our financial statements. 30:38 As you might remember, that line, all included a portion of nonrecurring cost. This means that from the first quarter of this year, all costs recurring or not will be classified by nature into the respective line in our P&L. Then we will provide a detail of all nonrecurring costs by nature and we will publish an adjusted EBITDA, excluding those items. 31:04 Now, looking at 2022, we expect the underlying cost, excluding D&A to be €622 million for the full-year 2022. This compares to an annualized fourth quarter 2021 underlying cost of €627 million. 31:25 In other terms, we expect in a near transformation and before the impact of the migration of Borsa Italiana to generate saving able to more than offset the inflation for 2022. In addition, Euronext expect to incur around 50 million of non-recurring OpEx and exceptional items in 2022. 31:47 I would like to highlight that those 50 million are part of the announced 160 million on non-recurring and implementation cost to deliver the growth for impact 2024 strategic plan. These implementation costs reflect the ongoing work of the Euronext team to deliver the key strategic priorities announced in November 2021, including the migration of our Core Data Centre to Bergamo in Italy, the migration of the Italian cash and derivative market to peak trading platform and the European expansion of Euronext Clearing activity. 32:25 Now with this, I conclude my presentation and I hand over the floor back to Stephane Boujnah.
Stephane Boujnah: 32:33 Thank you, all the team here where Giorgio Modica and Attia, the head of Primary Markets & Post Trade, and myself are available to answer your question.
Operator: 32:47 Thank you very much. [Operator Instructions] Our first question comes from the line of Kyle Voigt from KBW. Please go ahead.
Unidentified Analyst: 33:09 Hi, good morning. This is actually [Matt Maron] [ph] on for Kyle Voigt. Thanks for taking my question. Just wondering if you could potentially walk us through the rate sensitivity of the legacy CC&G NTI line, I know it is smaller line item, but just curious on that front, particularly given that there’s been some more increased expectations for [indiscernible] in the region near-term, just go clear of a low negative base. So, was just curious [indiscernible] so we should maybe expect the benefit in this line item and maybe if there’s been any change during the investment policy at Euronext in comparison to the legacy [indiscernible]? Thank you.
Giorgio Modica : 33:52 So, let me take that one. So, the revenues of CC&G within the clearing line is pretty stable and is not directly impacted by changes in interest rate. I would like to highlight as well. So, the way you should look at that is more like a spread in basis point on the basis on the margins, which are actually contributed to the clearing house and these spread in basis points tend to be pretty stable across periods in the last several years. On the other side, when looking at the net treasury income of Euronext Clearing, this is the result of the investment of the cash margin invested in short-term securities. 34:49 And in this respect, this is a short-term fixed income portfolio, which is impacted by two elements. The first element is again the return of the portfolio; and the second one is clearly potential capital gains on that portfolio. Now, going forward, we anticipate that the result is going to be mainly linked to the performance of the portfolio itself, and we see more limited possibility to cash in capital gain given the trend of interest rates expected for the next quarters.
Unidentified Analyst: 35:36 Thank you.
Operator: 35:38 Thank you very much. Our next question comes from the line of Andrew Coombs from Citi. Please go ahead.
Andrew Coombs: 35:47 Good morning. A couple of questions, please. First if we could just come back to the cost, thank you for the new disclosure. I do think you make it easier, but perhaps you could just talk a bit more about underlying cost inflation pressures that you're seeing and any investment projects that you have ongoing outside of the Borsa Italiana integration? That’ll be the first question. Second question is, just can you remind us on any rate sensitivity that you might have within your post-trade business both to dollar and also to euro rates? Thank you.
Giorgio Modica: 36:29 So, yes, when it comes to the first question around the underlying cost, I would like to highlight a few elements. So, the first one is that if you look at our cost for the fourth quarter year-on-year, those are stable as you have seen, but I would like to spend like a few minutes in walking you through the changing cost between the third quarter and the fourth quarter, because this is an important step in my view. 37:05 So, the first element that I would like to highlight is that the cost of the third quarter are seasonally lower. We have an impact of salary cost of around 4 million and this is linked to the holiday season. And you can see this has always been the case since in the moment we have published result after the IPO of the company was the same last year. 37:32 So, if you look at the increase in cost between the third quarter and the fourth quarter, this explains alone one-third of the increase. Another third of the increase is explained by the increase of consultants that we have hired to execute the project related to the different migration and integration projects that we have. 37:55 The last element that I wanted to highlight because that might not be obvious is that in the fourth quarter of 2021 what you see as well are a couple of millions of increased cost related to the type of post-COVID environment. As you might remember in October and November, everyone started traveling and having marketing events and this is new compared to the previous quarter, and these accounts for around 2 million. 38:29 So, I believe is important, because you might have an impression of an increase of cost in the fourth quarter, but the reality is that things are progressing exactly as expected. Then the other element that we’re highlighting is, whether there are initiatives across the group to deliver serving and the answer for that is, yes. 38:54 We always look at cost on an holistic basis, and thanks to that, we were able to achieve the 10 million of synergies that we have announced, and I take the opportunity to walk you through the different components of those 10 million. In there, what you have is, one first element, which is related to Euronext providing to Borsa Italiana cheaper services with respect to what LSC used to do. 39:22 Another element is related exactly to what you mentioned, optimization of our of Euronext Organization, leveraging Borsa Italiana and therefore saving from an organizational perspective. 39:38 And finally, the last element is that we started reassess every expense in Borsa Italiana, which is aimed at a perimeter, which is not of our interest outside of Europe, and that does not generate a sufficient return on the investment. And thanks to these elements, which do not touch the biggest part of the value upside, which is coming from the integration we were able to deliver a significant part of the originally announced 45 million of cost synergies. 40:14 Then, moving to your second question around the sensitivities. Again, our P&L in general is not that sensitive to interest rates. If we look at our liabilities, we have [3.50 billion] [ph] in that issued. This is all fixed rate. The only portion that we swapped into variable is only 500 million, but that was a very good idea when we started in 2018 and is already paid off. 40:47 You can see that in our balance sheet, we have a positive value the derivative for around €10 million. When it comes to your more specific question linked to CC&G, again, as I said, this is not a business, which is positively or negatively impacted by interest rate directly. The portion on which there is a sensitivity related again as I said to the fixed income portfolio, on which CC&G or Euronext Clearing invest, and what I can say is that given the upwards trends of interest rate, we see going forward, the fuel possibility to cash in and book capital gains out of that portfolio, but apart from that a no major impact from interest rates.
Andrew Coombs: 41:41 Very, clear. Thank you.
Operator: 41:44 Thank you very much. Our next question comes from the line of Arnaud Giblat from BNP. Please go ahead.
Arnaud Giblat: 41:52 Yes, good morning. Two questions please. Firstly, can I also on the tax rate, can you confirm that the PPA is deductible and therefore that's why getting [indiscernible] term guidance for 2022. Should we think about $0.27 is a long term guidance, given that you are going to have PPA going up for a while? And also, I'm curious as to why you don't strip out the tax benefit of PPAs and exceptional when calculating adjusted EPS to get to a more homogenous calculation since you are taking up PPA in the first place when calculating adjusted EPS? 42:26 And secondly, I was wondering if you could talk a bit about the cash yield [70.21] basis points, I think on a like-for-like comparable basis. It was at 0.52 in Q2. So, 0.03 reduction, is that down to reduced retail activity? And finally, I was wondering if her perhaps you could give us a bit of an update in terms of potential acquisitions, which areas you're currently looking at? Thank you.
Stephane Boujnah: 42:59 Absolutely. So, Arnaud, I will answer your last question and Giorgio will answer your question on the yield and on the PPA. As you have observed, Euronext is delivering faster than expected with level of debt-to-EBITDA of 2.6 compared to 3.2 at the time of the completion of the acquisitions. So, we are over time regaining capital deployment flexibility. 43:32 What we do is that we monitor very closely any situation which could contribute to diversifying the revenue mix, and the growth profile of Euronext and or expanding the European footprint of Euronext. And this process is ongoing. As we speak, now there is no process, no dialogue, but there are various situations that we are monitoring very closely. 44:15 And the purpose of our M&A strategy organization is to be ready to act decisively when the situation becomes actionable within the framework of our capital deployment, but it's clear that we keep a strong interest in any segment, which could help us as find our revenue mix.
Giorgio Modica: 44:43 With respect to your first question, let me clarify. So, what is relevant is that between the third and the fourth quarter. So, in the third quarter, we have booked a preliminary PPA assessment, which has been now finalized in the fourth quarter. 45:04 As a result of this process of assessment, we have now on our books a slightly lower goodwill and higher intangible assets. So, this is what creates a deductible cost. It is not – if you are on the goodwill itself, but is the intangible assets, which are amortized over time that have an impact on our P&L and our tax rates. 45:31 On your second question, yes, in the adjustment, we take into consideration, as well the impact of tax. Your third question around the cash basis points, this is something that we have discussed many times and I've shared, we do the fact that the yield has been exceptionally high for a very long time. 45:57 We've guided for a blended tax rate. Blended revenue capture at or slightly below the mark of 0.50 basis point. Now, the key driver of that, there are many and is very difficult to single out the impact of which one of those, but what we've seen in general terms is an increase of the average size of the orders that was one of the factors contributing to the increase of the revenue capture. 46:27 It's true as well as you said that we've seen as well a reduction of the retail activity, Although the retail activity remains at that level, which is higher with respect to what we had before the pandemic.
Arnaud Giblat: 46:46 Thank you.
Operator: 46:49 Thank you very much. Our next question comes from the line of Bruce Hamilton from Morgan Stanley. Please go ahead.
Bruce Hamilton: 46:56 Hi, morning. Maybe just a couple more on the cost just to check. So, on the 622 million guidance and thanks for that. This includes further synergy delivery to offset inflation. I don't know if you're able to give us what the, sort of run rate synergies assumed in that number of versus the 10 million already in 2021, would that be helpful? Plus any other guide on the [phasing] [ph] of the 45 million if that's possible? Secondly, simply on the integration costs so fifty of the 160 million comes through the 2022 cost base, should we expect the majority of the rest comes through 2023, so 2024 is relatively clean or is it quite hard to tell? And then finally, I guess for your current guidance for 2024, I think the implied cost base is around 585 million, so obviously a bit lower than we are today. So, I just wanted to check that that guidance still stands. Thank you.
Giorgio Modica: 47:51 So, let me start from the last point. Yes, and I want to clarify that the trajectory and the numbers that we have shared, the ambition for 2022 is absolutely consistent with the delivery of our 2024 ambition. So, yes, I can confirm that the trajectory is exactly the one that we have described during the November Investor Day. 48:19 Then, with respect to your second question, we had 27 million of one-off cost in 2021. We will have 50 next year, and it's a fair assumption that 2024 is going to be a rather clean year. So, this gives you pretty much all the elements to assess the phasing of the exceptional cost. Then, when it comes to the 622 million, what I can say is that – is the following: 48:56 I will not provide you a run rate target for 2022, unfortunately, what I can say, on the other side, is clearly that you have a [base] [ph] and you can have an idea of what type of inflation, 2022 could mean. The inflation rates across the industry are well-known and we will more than offset that. 48:56 Even an inflation of 2%, 2.5% would imply an increase over cost base, which is significant between 15 million and 20 million. And we will over compensate that.
Bruce Hamilton: 49:40 Brilliant. Thank you.
Operator: 49:46 Thank you. Our next question comes from Ian White from Autonomous Research. Go ahead.
Ian White: 49:52 Hi, good morning. Thanks for the presentation. Just a couple of follow-ups on costs as well from my side, please. And so, if you actually go back to a short follow-up to Bruce’s question. The guidance that was set out in November, I think gets a sort of cost base at the midpoint, if I say 3.5% revenue growth, 5.5% EBITDA growth cost base of about [5.74] [ph] in 2024, can you just walk me through please, how we might get to a figure in that ballpark from the 622 in 2022, please. That's question one. 50:34 And secondly, can I just clarify to the integration costs, the total 160 for Borsa Italiana, does that include any one-time termination speed it might be payable to [indiscernible] to discontinue the clearing service, please? Thank you.
Stephane Boujnah: 50:50 Yeah. So, let me take the two elements So, let me start from your first question. So, what is important to understand? And I appreciate that is not easy. Is the concept that the target of 100 million is not a mix between revenue increase in cost reduction, but it is an increase in EBITDA, which means that could be a combination of the two elements. And this is specifically through for the activity that we have today with respect to the data center and the clearing activity. 51:37 What I'm trying to say, that if we look at – just to give you a practical example, if we assess the increase of margin that we expect from clearing, which is the largest part of the increase of target from 600 million to 100, this is a combination of increased revenues and reduced costs. So, to a certain extent in the 100 million there is, if you take it in absolute amount more revenue savings to come as part of the new set up that we will have for the data center and the clearing. Then, you let me know whether this is clear enough or not, and I can expand. 52:29 On your second question, the answer is, yes. We are including all the costs related to the implementation of the plan, including the termination fee. The potential termination fee for LCH SA.
Ian White: 52:44 Got it. Thank you. That is helpful on question one. I guess just to clarify then, I took the EBITDA margin that was implied by your targets in November or somewhere between sort of 61% to 65% maybe something in that ballpark. So, we should still be expecting the margin to land in that range presumably for 2024. It might just be a mix of perhaps higher cost, higher revenues and vice versa, relative to so much [indiscernible] workings on the guidance. That's why I'm hearing there, [as I've got that] [ph] correct.
Giorgio Modica: 53:19 So, what I can say is that during the Investor Day, we gave a trajectory for the EBITDA in a trajectory of the revenue. And if you deduct one from the other, you would have implicitly the trajectory of cost and this is implied into the 100 million target. Then if you're asking yourself, how is it possible to get to the level? What I can say is that a part of the business opportunity in doing the business ourselves will translate into further savings that you didn’t see today.
Ian White : 53:54 Okay. That's super. Thanks for your help.
Operator: 54:00 Thank you. Our next question comes from the line of Johannes Thormann from HSBC. Please go ahead.
Johannes Thormann: 54:08 Good morning. Just three questions, please. First of all, follow-up, could you provide us a breakdown of the collateral for the net treasury income by currency or also by the different volumes? Secondly, on the cost – on the green data center and migration in June, how long have you hedged your energy costs for that one or do you [indiscernible] energy on your own in this data center? And last but not least, if you could provide probably some clarity on the dividends on Sicovam and Euroclear, you're are expecting for 2022 and the contribution from LCH if you can elaborate a bit on the seasonality from this? Thank you very much.
Stephane Boujnah: 55:02 So, a few elements on my side. Let me start with the data. So, this data center is green not because it buys green electricity, but because it produce itself grid energy. With a combination of fully-owned hydro power plants and for the whole type panels, which are built on the roof of the data center itself. 55:31 So, this is for the first question and we are not hedging, we are out of producing. The second [indiscernible] is related to the dividend for next year. I mean, we will need to have the results of Euroclear, so once those company will announce, so, for LCH SA, this is going to be an 11.1% share of the net income when this will become available and for Sicovam and Euroclear once it is going to be announced is going to be publicly available, we cannot anticipate those elements. 56:15 Then when it comes to your question around the collateral, we provide a breakdown of the element that we collect from our client in terms of margin. This is, I believe one of the last pages of the press release, and at the moment, this is largely euros and we don't anticipate to provide the breakdowns because – not because we don't want, but we don't feel that this gives a really more insight into the revenue potential from that activity.
Johannes Thormann: 56:57 Okay. Thank you.
Operator: 57:02 Thank you very much. Our next question comes from the line of Martin Price from Jefferies. Please go ahead.
Martin Price: 57:10 Good morning and thanks for the presentation. Just two questions if I may? First on post-trade, you reported a strong sequential increase in revenue in Q4, just wanted to confirm that that was just a function of stronger Settlement activity and higher Custody assets rather than any one-offs or seasonality in revenue? And secondly, I just wanted to come back to the EU consolidated [indiscernible] proposal, I appreciate it is still very early days in the process, but at the Investor Day last year, I think you said that you thought the impact was manageable. I just wonder if you could help us understand in a little bit more detail the revenue you think potentially could be at risk? Thank you.
Stephane Boujnah: 57:54 So, I will answer briefly your question on [consolidated tape] [ph] and Anthony Attia, the Head of Primary Markets and Post Trade will answer your first question on the revenue mix within the business. 58:07 The debate on the consolidated debt is ongoing. We are spending a lot of time with the various constituencies that will have to form the final views upon this matter at the European parliament and we did the relevant number states of the console of the European Union. 58:30 We are confident that pragmatic manageable solution will be found. There are still open issues on the scope, the pace, the timing, the framework to operate such a consolidate. So, for the moment, it's more concept and ambition more than something frame precisely. So there are a lot of moving pieces in finalizing what this consolidated debt if any will be in due course. 59:08 So, it's very difficult for us to form a view on what will be the final regulatory framework that we’ll apply to the real time data produced by Euronext. That being said, we don't change the comment made at the Investor Day on the basis of the various scenario we are analyzing internally. 59:35 We believe that the consequences of this new piece of regulation will be manageable. But again, we are spending a lot of time of effort to make sure that these changes are minimized in terms of back on our top line. On the CSD?
Anthony Attia: 60:00 Thank you, Stephane and good morning, everyone. So, I understand your question was about the drivers of the growth in obviously the businesses. So, as we explained in the press release, we enjoyed a growth compared to the year, the previous year and the previous quarter, but it is not only due to the addition of the Euronext Securities Milan [indiscernible]. In the mix is also because we had an increased settlement activity and also a very strong retail account activity in the Nordics. And as you remember from the previous call, this segregated account business in [indiscernible] Nordic here – it is in Copenhagen and also is one of the drivers of that growth.
Stephane Boujnah: 60:58 And I can confirm that there is no one-off component in the fourth quarter revenue. This is fully organic and recurring.
Martin Price: 61:11 Understood. That's very helpful. Thanks all.
Operator: 61:15 Thank you very much. [Operator Instructions] We don't seem to have any further questions in the queue at this moment. So, we’ll hold just a second to see if more questions come through. Okay. We have no further questions on the line, so I'll hand you back over to the speakers.
Stephane Boujnah: 61:42 Thank you very much for your time. Happy to follow-up with the team here, and have a good day.
Operator: 61:50 Thank you very much for joining today's call. You may now disconnect your handsets. Hosts, please stay on the line. Thank you.